Operator: Good morning. Welcome to Trisura Group's Limited Fourth Quarter and Full-Year 2021 Earnings Conference Call. On the call today are David Clare, Chief Executive Officer, and David Scotland, Chief Financial Officer. David Clare will begin by providing a business and strategic update, followed by David Scotland, and results for the quarter-end-year.  Following for more, comments lines will be open for analysts questions. I'd like to remind participants that in today's comments, including in responding to questions, and in discussing new initiatives related to financial and operating performance, forward-looking statements may be made. Including forward-looking statements within the meaning of applicable Canadian and U.S. securities laws, these statements reflect predictions of future events and trends and do not relate to historic events. They are subject to known and unknown risks and future events and results may differ materially from such statements. For further information on those risks and potential impacts, please see Trisura's filings with securities regulators. Thank you. I'll now turn the call over to David Clare.
David Clare: Thank you. Good morning everyone, and welcome. Our business performed very well in 2021, which represented an inflection point on our path to building a leading specialty insurance company of scale. Despite the challenges of global pandemic, progress made across the organization, yielded a more robust infrastructure, and more diversified earnings days, and [Indiscernible] [Indiscernible] benefits of increased scale. A commitment to specialty lines, and delivered expansion of our strategies across North America met favorable market conditions, and strong adoption of our products.  Premium growth in the fourth quarter continued our momentum from the first nine months of 2021, producing again, our largest premiums to-date following sequential records in Q2 and Q3. Claims experienced in the quarter and the impact of one-time items weighed on net income, which fell 6% versus the strong prior-year comparison. Importantly, adjusted quarterly net income grew 32% over Q4 2020, and return equity remains strong at 19%, more impressive in the context of significant growth. Our team continues to demonstrate resilience and a healthy pipeline of opportunities as we scale an increasingly sophisticated and diversified, [Indiscernible] insurance platform.  Results were particularly strong in Canada with 85% premium growth in the quarter supported by profitable underwriting. Momentum was sustained in the U.S. as premiums again hit a quarterly record, increasing 39% over the fourth quarter of 2020 and reaching $1 billion for the year. We observed significant premium increases in Canada. Standout was again risk solutions, for fronting arrangements and new warranty programs drove 123% rate of growth in the quarter versus 2020. Corporate insurance continues to benefit from a hard market, growth in premiums and momentum with distribution partners produced a 46% growth, over the prior period. Surety growth of 18% with strong as a benefit -- business benefits from tailwinds and established line expansion of a U.S. practice and New Home Warranty segment with a full-year of operation.  More importantly, Canadian loss ratio of 26% improved versus the 30% achieved in Q4 of 2020, driven by strong experience in corporate insurance and risk solutions. Surety's 31% loss ratio rose versus what has been exceptional performance in the last year, and was the result of a claim in contract surety. Profitability was supported by corporate insurance as growth in premium and a 26% loss ratio, as well as more than doubling of underwriting income in risk solutions. Combined ratio in the quarter was 91% compared to 87% in Q4 2020, driven by an increase in expense ratio following the change in our surety reinsurance structure mitigated by an improvement in loss ratio.  Despite a higher combined ratio, net underwriting income increased to 12% in the quarter, driven by growth in the business. Taking into account growing investment income, the Canadian platform maintained a strong 30% return on equity. With the extension of our U.S. style fronting, our Canadian entity now generates attractive fee-based earnings to complement the heritage of profitable underwriting. We've made progress in our U.S. surety platform, adding experienced team members in local offices in Stanford, Denver, and Philadelphia. We are excited at the early potential expanding our product line we have demonstrated expertise in a geography with promising infrastructure tailwinds. U.S. fronting premium grew 39% over Q4 2020 maturation of existing programs and new relationships drove top-line. U.S. fronting generated $293 million in gross premiums written and $12 million in fronting fees.  We recorded $26 million in deferred fee income at the end of the quarter, indicative of future fees to be earned. Loss ratio in the quarter increased as a result of weather events in certain programs, and fronting operational ratio increased from the cost of reinsurance on non-skilled programs. Importantly, we believe that the current size of impacted programs and an improved structure going forward will result in enhanced profitability. Despite market and conditions driving opportunities to excess and surplus lines, we wrote $24 million in admitted premiums in the quarter, mitigated by slower approvals by state regulators, and the longer ramp times of admitted programs. It is important to acknowledge the scale of the U.S. business.  Similar to our Canadian platform, the U.S. business may exhibit seasonality, making sequential comparisons less relevant than when the business was in startup mode. Annual growth potential remains strong and we view the business on 12-month basis. In the quarter, we negotiated innovation of our life annuity reinsurance contract, resulting in the end of our participation on the contract and a one-time $3 million loss.  Although we realize the loss on this, today we benefit from elimination of exposure to European interest rates and management's focus on core North America businesses. We will continue to provide capacity for our U.S. fronting operation. Maturation of a business in growth on our balance sheet [Indiscernible] and best increase our ratings size category to 9, which ranks our platform as one of the most significant fronting participants in the U.S. is expected to support our trajectory in the years to come. The strength of our growth has also catalyzed the historic levels of hiring, though we admittedly faced the same difficulties in hiring that many industries are faced in today. And important focus through this expansion continues to be increasing operational leverage while maintaining appropriate resources to manage and underwrite the business. Interest and dividend income increased year-over-year. The result of growth impact on our portfolio.  We continue to allocate conservatively, acknowledging an uncertain environment as we navigate a transition to a post-pandemic world and the unwind of monitor stimulus. Despite these dynamics, we've defended a 3% yield on our investment portfolio. The hardening market continued through year-end, and we expect this trend to sustain through 2022, [Indiscernible] at a reduced pace. The majority of our growth has been achieved through enhanced distribution relationships and new volumes. And as such, we expect to navigate any eventual rate normalization. [Indiscernible]. Although access and surplus markets remain strong, our admitted capabilities will be important going forward.  With the continued expansion of admitted platform, maturation of Canadian fronting and the launch of a U.S. surety strategy, we have ample and attractive opportunities to grow. Following our inaugural debt issuance earlier this year, we are well-positioned to support that growth. Our platforms have become complementary sources of lead generation for one another. As we gain market share in one geography, our presence in capabilities of our companion offices provide opportunities to generate new business and service our partners in both Canada and the U.S. Increasingly diverse and fee-based earnings help reduce volatility and supports access to capital. Growth and performance in Canada has been a highlight this year and has provided momentum for the enterprise beyond the profitable maturation demonstrated in U.S. fronting. As we look to 2022, environmental, social, and governance considerations are front of mind and an important part of Trisura is development. We're focused on better -- we're focused on better communicating existing initiatives, identifying areas in which there's room for improvement and adopting best practices.  We remain an insurance company in growth mode and must focus on the skills and practices that brought us to this point. We will concentrate in business lines that we know, continue to underwrite conservatively and execute on detailed structuring. As we've acknowledged in the past, our business can experience volatility and severity in claims, [Indiscernible] this quarter in surety. I know that we do not need the experience from the fourth quarter of indicative -- as indicative of a future trend. And we are proud of our accomplishments over the past year. We are optimistic for the year ahead. With that, I would like to turn it over to David Scotland, for a more detailed review of financial results.
David Scotland: Thanks David. I'll now provide a brief walk-through of some financial results for the quarter. Gross written premium was $485 million for the quarter, which reflects growth of 54% over Q4 2020. Fee income, which is primarily related to fronting fees from our U.S. operations grew by 31% in the quarter, reflecting growth of fronted premium and premium in the U.S. Net claims expense in the quarter was greater than the prior year primarily as a result of growth in the business, higher claims in our surety operation, and a higher loss ratio in the U.S. business. Net commissions’ expense increased by 91% over Q4 2020 and operating expense in the quarter increased by 56% over Q4 2020. Both reflecting growth in both the Canadian and U.S. operations.  That underwriting income in Canada for Q4 was higher than the prior year as a result of growth in the business mitigated by higher combined ratio in the quarter. But underwriting income for the U.S.. for Q4 2021 was greater than Q4 2020, largely as a result of growth in new and existing programs, as well as improved operational efficiency. This was mitigated by higher loss ratio and the impact of additional Cap reinsurance purchases, which were required for group of programs which had yet to build sufficient scale. In Q4 2021, the combined ratio in Canada was 91% and the fronting operational ratio in the U.S. was 79%.  That investment income was greater in Q4, 2021 than Q4 2020 as a result of an increase in interest and dividend income. The increase was primarily related to an increase in the size of the investment portfolio associated with growth in operations and contributions to capital from the debt offering in June 2021, and was mitigated by reduced market yields. Debt gains were $3.7 million in the quarter, which were greater than Q4 2020, largely as a result of greater realized gains, as well as derivative income. Income tax expense was approximately the same in Q4, 2021 as Q4, 2020, reflecting similar income before tax in each of those quarters.  Net income generated from the reinsurance operations was lower in Q4, 2021 than in Q4, 2020 as a result of a loss from the innovation of the life annuity reinsurance contract. This event will simplify reporting of our operating results going forward. Net income for the group was $10.3 million in the quarter, which was approximately the same as Q4, 2020. Results were driven by growth in the business which was offset by higher claims in both Canada and the U.S. as well as the impact of the innovation at Trisura international.  Diluted EPS was $0.24 in Q4 2021, which was approximately the same as the prior year. Consolidated ROE on a rolling 12 month basis was 19% at the end of Q4, 2021, which was greater than the rolling 12 months early at the end of Q4 2020. Assets in the year-to-date period grew by $1.3 billion as a result of growth in Canada and the U.S. Recoverable from re-insurers have increased primarily as a result of growth in the U.S. fronting business where claims liabilities are largely offset, by expected recoveries from the re-insurers to whom we see the business. Investments have grown as well, reflecting the additional capital generated as a result of the debt offering in Q2, 2021, as well as capital generated from operations. Liabilities in the year -- in the year-to-date period grew by $1.2 billion primarily as a result of growth in unearned premium and unpaid claims and loss adjustment expenses, which have grown as a result of growth in both Canada and the U.S.  As discussed, growth in these balances is largely offset by growth in reinsurance recoverables. Equity has grown for the year by $69million, reflecting growth in net income, as well as growth in other comprehensive income. Other comprehensive income increased in 2021, primarily as a result of opportunistic conversion of Canadian cash to fund U.S. operations. Book value per share was $8.70 at December 31st, and is greater than December 31st 2020 as a result of profit generated year-to-date and unrealized gains on the investment portfolio. As at December 31, 2021, debt-to-capital was 17.3%, which has increased after the debt offering in the second quarter, but remained below our long-term target of 20%. The company remains well-capitalized and we expect to have sufficient capital to meet our regulatory capital requirements. David, I'll turn things back over to you.
David Clare: Thanks, Operator. We'll now take questions.
Operator: [Operator Instructions] And we also ask that you limit yourself to one question and one follow-up. Our first question comes from Stephen Boland with Raymond James.
Stephen Boland: Good morning, guys. Two questions. Maybe just about the U.S. business and the number of programs, like good addition year-over-year, maybe you could just talk about sequentially. Did you drop any programs? Because I think it only went up to one or were you just cautious on adding new programs?
David Clare : Hey, Stephen. Thanks for the question. In the quarter, we actually did drop two programs, one those two programs were two that had not produced any premium in the last six months. So we've -- we added I think net three programs in the quarter -- [Indiscernible] three programs in the quarter reduced by those two. Although again, those two programs were ones that hadn't really rammed for us.
Stephen Boland: What would cause that, David? They obviously were looking for a market. You're providing one and they're not giving you any premium.
David Clare : Yeah. It's more of the reception of those programs in the market. And as those programs launch, some programs are going to be successful, some programs won't. And so these ones were programs that are just never reached at sufficient scale, then really contribute any premiums in the last few quarters. And therefore, they're sort of shutting down and reevaluating.
Stephen Boland: Okay. And my second question is more a general question in terms of, what's your thoughts on the ROE? Longer-term potential of maybe the US business we've seen the Canadian business pretty robust, ROE, but overall, maybe the US business. The consolidated company, is there a goal or what do you think is a sustainable? Are we for your business?
David Clare : Our stated goal for the business is to have a mid-teens ROE, we've outperformed that recently driven by pretty significant out-performance in the Canadian ROE. I would say the level that we've seen in Canada, we're pretty open about acknowledging that it's likely not to be sustained at that 30% level. Although we do see a pretty healthy expectation for the Canadian business going forward, probably more in line with our long-term average of high teens, low twenties. The U.S. business I would say in the near-term, we'd expect again in the mid-teens from an ROE perspective with benefits of increasing scale for successful and continuing to grow that business.
Stephen Boland: Okay. Thanks very much, guys.
Operator: Our next question comes from Nik Priebe with CIBC Capital Markets.
Nik Priebe: Yeah. Okay, thanks. Wonder if you could ask you just to expand a little bit more on the nature of the contractor insolvency insurity in Q4. I'm just -- I was wondering what the circumstances were led to that insolvency that give you sufficient comfort that this is a one-off event.
David Clare : Hi, Nick. Thanks for your question. It was very normal cost. So contractor installment fees can happen for a number of reasons. For the most part, obviously, these contractors go insolvent for reasons of difficulties in delivering their services, working capital reasons, any host of -- any host of items can drive that. For this contractor, specifically, they had made a bit of trouble delivering their services for factors that we don't believe are endemic or indicative of any specific trend. Unfortunately, you can in this business get contractor insolvencies, although the unique characteristics of this one really don't feed into any change in our assertion of the health of the industry or our book.
Nik Priebe: Understood. Okay. And then, one other one for me, the ramp of admitted premiums, perhaps a little bit slower than anticipated. I know in the past you called out the more cumbersome regulatory environment, but it seems like you have made good progress on obtaining licenses and filing rates, so what's really holding that back? Is it just a product of allowing those programs to start to mature?
David Scotland : Yes, it's a combination of factors. I would say those that you've identified still continues to be true, although, transparently, the trend in the U.S. market continues to favor access in surplus business. So the hardening market trend that we've observed for the past 18 months continues to favor access in surplus programs. On a submission basis from a momentum basis in the market. We continue to see pretty healthy demand for those excess and surplus programs, which disproportionately disadvantages admitted program. So in the fullness of time, we expect that to normalize and admitted programs to ramp up. But the state of the market today has provided us more opportunities to grow in the excess and surplus space. I would agree with you. We've been a little bit surprised by that nuance. We expected more momentum in that admitted space, although I admit the economics of these businesses between the excess and surplus lines in the admitted lines, are equally attractive to us.
Nik Priebe: Understood. Okay. That's it from me. Thank you.
Operator: [Operator Instructions] Our next question comes from Tom MacKinnon with BMO Capital.
Tom Mackinnon : Thanks very much. Good morning. I got on the call late, but I believe you did correct the contractor insolvency. The release notes, something on associated with the experience claims associated with weather events in the US. Can you elaborate on that as a recall in the third quarter, I don't think you really had that's when the big weather events are happening in the US and I don't think you really took any significant charge. Was there anything kind of pulled into the fourth quarter as a result of that? And then I have a follow-up. Thanks.
David Clare : Thanks, Tom, that's a great observation. In this third quarter, we'd usually expect our property exposure in the U.S. to experience some level of weather impact. We didn't see that in the reported results in the third quarter. Many of the weather events that we experienced actually happened towards the end of the third quarter. And that pushed the reporting of those claims into the fourth quarter. So there was a disproportionate impact from weather events in the fourth quarter. If you compare the fourth quarter's loss ratio to the third quarter loss ratio in 2020, you'll see those are much more comparable. So the impact this quarter in the U.S. really is one that is driven more by those weather events in the fourth quarter than we usually expect.
Tom Mackinnon : Would you be able to quantify what's the impact? And was that related to any of the hurricanes in the U.S. as well?
David Clare : So it was related to some of that hurricane activity, Hurricane Ida specifically, we haven't quantified that amount in our materials, but maybe we can follow up offline with some estimates.
Tom Mackinnon : Okay, and then just as a follow-up, the loss ratio in the U.S. was -- and I'm wondering, was there any noise associated with the cat coverage instituting that -- that played with that loss ratio that you disclosed?
David Clare : Yes. So you're referencing the additional cat cover on sort of non-skilled great. Talked about. Yeah. So so there could be a marginal impact on loss ratio from those programs by through a reduction in net premiums earned. Although the majority of those costs come through in the commission line. There'll be a combination of impacts, both on reducing net premiums earned, as well as increased in commissions. The bigger impact is going to be shown in the fronting operational ratio. those programs rather than the loss ratio. Although we do have met, there can be a small impact on loss ratio too.
Tom Mackinnon : Okay. Thanks very much.
Operator: [Operator Instructions] And actually, we do have a follow-up question from Tom Mackinnon with BMO Capital.
Tom Mackinnon : Yeah. David, you did some pretty good momentum with respect to the Canadian business. Not sure if you talked about the environment there, what you're saying, where you're seeing the best opportunities. And are the best opportunities really with respect to the new fronting arrangements that you're instituting in Canada as well? Thanks.
David Scotland : Thanks Tom. I would agree that the big achievement we believe this year has been the out-performance at our Canadian practice. The premium growth of that entity for the full year as well as the loss ratios that we're observing for that full-year have been a real standout for us. I would say the opportunities are pretty attractive across the board. These are relatively more mature business lines in our U.S. fronting, for example, and continue to show pretty healthy potential. Canadian fronting has obviously been the big standout from a growth perspective. But we don't think that the opportunity in corporate insurance or surety is any less attractive. That being said, the growth rates across these platforms likely don't repeat the growth rates that we're seeing in 2021, although we still do believe they will be healthy in 2022.
Operator: [Indiscernible] any further questions. At this time, I'd like to turn the call back to David Clare for any closing remarks.
David Clare : Thanks very much. We appreciate everyone joining the call today to the extent that there are further questions, don't hesitate to reach out. And we'll end the call there.
Operator: Ladies and gentlemen, this concludes today's presentation. You may now disconnect and have a wonderful day.